Operator: Good day, and thank you for standing by. Welcome to the Cherry Hill Mortgage Investment Corp Third Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session [Operator Instructions].  I would now like to hand the conference over to your speaker for today, Garrett Edson. You may begin.
Garrett Edson: We'd like to thank you for joining us today for Cherry Hill Mortgage Investment Corporation's third quarter 2022 conference call. In addition to this call, we have filed a press release that was distributed earlier this afternoon and posted to the Investor Relations section of our Web site at www.chmireit.com. On today's call management's prepared remarks and answers to your questions may contain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ from those discussed today. Examples of forward-looking statements include those related to interest income, financial guidance, IRRs, future expected cash flows, as well as prepayment and the capture rates, delinquencies and non-GAAP financial measures, such as earnings available for distribution or EAD and comprehensive income. Forward-looking statements represent management's current estimates, and Cherry Hill assumes no obligation to update any forward-looking statements in the future. We encourage listeners to review the more detailed discussions related to these forward-looking statements contained in the company's filings with the SEC and the definitions contained in the financial presentations available on the company's Web site. Today's conference call is hosted by Jay Lown, President and CEO; Julian Evans, the Chief Investment Officer; and Michael Hutchby, the Chief Financial Officer. Now I will turn the call over to Jay.
Jay Lown: Thanks, Garrett. And welcome to our third quarter earnings call. Central bank policy and macro economic pressures persisted in the third quarter, which drove volatility higher and certainly impacted most mortgage assets. Persistently high inflation and a well supported employment market led the Fed to enact 275 basis point rate hikes in July and September, and provided the Fed to cover to again raise rates earlier today. Fed has remained steadfast in telegraphing its mission to lower inflation to its target level and markets have reacted significantly to any rhetoric related to the path and pace of future tightenings in this cycle. This has helped fuel expectations for short term rates to exceed the level policymakers have previously outlined. Additionally, the US Treasury 2s10s curve inverted 51 basis points over the quarter moving from plus 6 basis points at 6.30 to minus 45 basis points at the end of September, signaling potential for a forthcoming recession. While the US 10 year treasury finished the quarter at 3.8%, 78 basis points above its closing level at June 30th, it surpassed 4.25% at one point in October. The increase in rates and the shape of the yield curve were relevant to the performance of RMBS assets in our sector, and much has been discussed about how the rising treasury rates and increased volatility has impacted mortgage spread widening this year and its impact to REIT book values. While it is our view that agency MBS looks attractive at these levels, the sector has continued to drift wider in October as others have highlighted. Despite this we do believe that we are approaching MBS valuations that are attractive and expect to capitalize on that over time. For now, we have positioned our portfolio for additional rate hikes and further mortgage spread widening as investors look to assess where the fed will signal a slowdown in this tightening cycle. During the quarter, we worked to effectively minimize the embedded macro risks and focus on what we could control. We selectively deployed capital as we saw opportunities emerge while maintaining a leverage ratio that has room to increase. We were proactive in terms of our hedging strategy and coupon selection, which began at the end of the prior quarter, rotating out of lower coupon MBS into higher coupon MBS. The end result was a solid performance in a very difficult environment. Julian will provide more details on our efforts there shortly. For the third quarter, we generated GAAP net income applicable to common stockholders of $38.3 million or $1.90 per diluted share, and we generated earnings available for distribution or EAD, a non-GAAP financial measure, of $5.1 million or $0.26 per share. This was just below our quarterly common dividend level of $0.27 per share. Our primary focus this quarter was to protect book value, given our view on MBS spread widening. As we've noted before, EAD is only one of several factors considered in setting our dividend policy. And we and our board continues to monitor our earnings capabilities to ensure our dividend is at an appropriate level. Book value per common share finished at $6.05 as of September 30th, and a material amount of this is simply a function of preferred stock still making up a significant portion of our overall equity profile. On an NAV basis, which does not account for the difference in common or preferred equity, our strategy of pairing RMBS with agency MSRs continues to effectively minimize risk and moderate the impact of spread widening on agency RMBS. NAV in the quarter was off approximately 5.1% quarter-over-quarter before taking into account any common stock issuances pursuant to our ATM program. We remain committed to stabilizing and growing our NAV and book value, and using all of our tools to navigate through the current environment. During the third quarter, we acquired approximately 1.2 billion UPB in Fannie and Freddie MSRs by a flow and bulk purchases. Prepayment fees on our MSR portfolio have declined materially and as such, the pace of reinvestment to maintain the allocation of capital to the asset class have slowed. Our strategy of pairing MSRs with agency RMBS along with proactive portfolio management and edging benefited shareholders this quarter given the composition of the overall portfolio. Our recapture efforts remained solid with a 7% recapture rate on MSRs in the quarter despite the ongoing rapid rise in mortgage rates. We would expect recapture rates should further decline at these higher interest rate levels though, prepayment speeds net of recapture should continue to remain low. At the end of the quarter, financial leverage increased modestly to 4.2 times as we saw opportunities late in the quarter to deploy capital opportunistically. Given the current heightened market volatility, we believe we remain prudently levered and we're cognizant not to be too aggressive in increasing our leverage. We ended the quarter with $43 million of unrestricted cash on the balance sheet, maintaining a solid liquidity profile. Looking ahead, we will continue to selectively deploy capital where we see clear risk adjusted opportunities, as we closely monitor central bank monetary policy actions and their impact on global markets and MBS spreads. We expect to maintain an elevated hedge ratio as we remain positioned for a bias towards further Fed tightening of monetary policy and a higher rate environment for the foreseeable future as inflation persists, and we expect economic headwinds to carry into 2023. We will also continue to actively adjust our investment portfolio to protect the business and remain mindful of our liquidity and leverage profile in this dynamic environment to preserve book value. With that, I'll turn the call over to Julian who will cover more details regarding our investment portfolio and its performance over the third quarter.
Julian Evans: Thank you, Jay. The third quarter was not a good quarter for mortgages, as Jay stretched. Higher volatility, wide bid ask spreads and limited liquidity describes this sector best. Throughout the quarter, the mortgage bases underperformed significantly. According to Bloomberg, the mortgage index underperform hedges by 169 basis points for the quarter, a performance number that was worse than all of 2020, the year of the pandemic. Said differently, nominal spreads touched the pandemic wide of 2022. Since the start of 2022, the Fed has raised the Fed funds rate significantly inclusive of today's rate increase, leading to a significant weighing on the mortgage sector. Given current inflation and unemployment levels, the market expectations are for the fed to raise the fed fund rate to a terminal level of 450, 475. One of the fastest rate paths the Fed has undertaken to normalize the Fed funds rate in its history. We expect the Fed to achieve its goals of reducing inflation. And as a result, we expect volatility to remain elevated weighing on the mortgage sector despite the vastly improved valuations. At quarter end, our MSR portfolio had a UPB of $21.4 billion and a market value of approximately $279 million. During the quarter, we purchased approximately $1.2 billion UPB of new MSRs who are bulk in flow programs. At the end of the third quarter, the MSR and related assets represented approximately 38% of our equity capital and approximately 27% of our investable assets excluding cash. Meanwhile, our RMBS portfolio also accounted for approximately 49% of our equity. As a percentage of investable assets, the RMBS portfolio represented approximately 73% excluding cash at quarter end. During the quarter, we continue to experience CPR improvements in both our MSR and RMBS portfolios. Our MSR portfolio’s net CPR averaged approximately 7% for the third quarter, down from approximately 10% net CPR in the previous quarter. The decline mainly driven by the continued rapid rise in interest rate and the change in mortgage production coupons, which drove slower prepayment fees in the quarter. The portfolio's recapture rate was lower at 7% versus 12% in the second quarter, which was expected as interest and mortgage rates rose making the incentives to refinance less. We continue to expect a lower recapture rate with stable or improved net CPRs given the elevated levels of interest and mortgage rates. The RMBS portfolio’s prepayment fees exhibited similar themes. The portfolio's weighted average three months CPR reduced to approximately 4.7% for the third quarter compared to approximately 7% in the second quarter. As of today, the vast majority of the mortgage universe is out of the money in terms of refinancing. We expect prepayments to remain at low levels as long as interest rates stay at these levels or move higher. As of September 30th, the RMBS portfolio inclusive of TBA stood at approximately $759 million compared to $831 million at previous quarter end. The quarter-over-quarter respectful portion of the portfolio grew as we attempted to take advantage of higher interest rates and lower price premiums by putting new cash to work, as well as converting dollar rolls into spec pools as the dollar rolls weakened. The total RMBS portfolio number is lower as we headed to a portion of the portfolio with TBAs. We also continue to proactively change the portfolio's composition, moving into higher coupons and reducing spread duration for the portfolio. At the end of the third quarter, the 30 year securities position represented 96% of the RMBS portfolio, up from 93% at the end of the second quarter. Shorter duration securities made up 4% of the portfolio at quarter end. For the third quarter, we posted a [three spot] 49 RMBS net interest spread versus a three spot 46% net interest spread reported for the second quarter, a modest increase. The spread was relatively stable despite increased repo costs. The higher finance costs were offset by resetting LIBOR expenses on our swap portfolio, as well as new asset purchases at the higher yield levels and lower dollar prices. At the quarter end, the portfolio's financial leverage stood at approximately 4.2 times at the aggregate level and the portfolio is managed with a small negative duration gap. Looking forward, especially in the fourth quarter, we remain guarded as we expect the investment markets to remain volatile for the foreseeable future until there's greater clarity as to the Fed’s reaction to inflation and unemployment. I will now turn the call over to Mike for the third quarter financial discussion.
Michael Hutchby: Thank you, Julian. Our GAAP net income applicable to common stockholders for the third quarter was $38.3 million or $1.90 per weighted average diluted shares outstanding during the quarter. While comprehensive loss attributable to common stockholders, which includes the mark-to-market of our held for sale RMBS was $7.3 million or $0.36 per weighted average diluted share. Our earnings available for distribution attributable to common stockholders were $5.1 million or $0.26 per share. Our book value per common share as of September 30th was $6.05 compared to a book value of $6.73 as of June 30th. We use a variety of derivative instruments to mitigate the effects of increases in interest rates on a portion of our future repurchase borrowings. At the end of the third quarter, we held interest rate swaps, TBAs, Treasury futures and options on Treasury futures, all of which had a combined notional amount of $1 billion. You can see more details with respect to our hedging strategy in our 10-Q as well as in our third quarter presentation. For GAAP purposes, we've not elected to apply hedge accounting for our interest rate derivatives and as a result, we record the change in estimated fair value as a component of the net gain or loss on interest rate derivatives. Operating expenses were $3.1 million for the quarter. On September 15th, our Board of Directors declared a dividend of $0.27 per common share for the third quarter of 2022, which was paid in cash on October 25, 2022. We also declared a dividend of $51.25 cents per share on 8.2% Series A cumulative redeemable preferred stock and a dividend $51.5625 cents on our 8.25% Series B fixed to floating rate cumulative redeemable preferred stock, both of which were paid on October 17, 2022. At this time, we will open up the call for questions. Operator?
Operator: Thank you [Operator Instructions]. Our first question comes from the line of Henry Coffey with Wedbush.
Henry Coffey: Two items. On the RMBS portfolio, it looks like you've been able to hold funding costs fairly low. And as rates rise are we going to be able to continue to hold spreads at about where they are now or should there be some more downward pressure?
Julian Evans: I think we all know that the Fed is going to continue to raise rates. And we do expect that our repo costs to continue to rise. That is being offset by our swap hedges, whether it's a three month LIBOR resetting or the SOFR resetting, we've been able, so far to fortunately be able to keep our expenses at the levels that they are. So as long as the Fed continues to raise Fed funds, we would expect three month LIBOR as well as SOFR to go up. We do have a hedge ratio currently in the portfolio by about 119%, so we are overhedged from that perspective.
Henry Coffey: So in a rising rate environment, you should be able to hold spreads about where they are?
Julian Evans: We're expecting that. I mean, on the asset side, we have changed around the portfolio. Even today, since the end of the third quarter, we continue to manage the portfolio, continue to adjust on the asset side as well, not just on the liability side, I would say.
Henry Coffey: Is the mindset to expand the RMBS portfolio or just kind of turn it over as trading opportunities present themselves or assets mature.
Jay Lown: I would say that the MSR portfolio is not all that liquid, so there isn't a ton of room for us to substantially add to that.
Henry Coffey: No, I mean, on the RMBS book.
Jay Lown: So what I'm saying is from a capital allocation perspective [Multiple Speakers] equity, I would say things shouldn't change much. But as I alluded to in the call, I think -- we think that we're approaching wides for spreads. And once we feel as though we're getting closer to those wides will be more inclined to increase the leverage in that portfolio. So a percentage of assets wise, I think you could see RMBS going higher as a percentage of equity, not significantly, I would say.
Henry Coffey: In the line of business stuff on Slide 20, there was another expense in the servicing business of 12.1. What was that all about?
Julian Evans: So the income statement here being broken down across the different segments takes the entire portfolio and divvies it up. And so the servicing related assets segment includes not just the MSRs themselves but also related assets and hedges. And so you might see as the MSR values increase, you would see that their MSR hedges, those swaps, those values would be impacted and you'd see that show up here.
Operator: Our next question comes from the line of Mikhail Goberman with JMP Securities.
Mikhail Goberman: Just a couple of quick questions. Just wanted to gauge your appetite on further stock issuance. I noticed you guys went from about 19.6 million shares to just under 21 million quarter-over-quarter, and putting that capital to work. And also sort of commensurate with that wanted to gauge your appetite for -- how high up could leverage go? I mean, we're talking about maybe getting up towards a five handle at 4.2 now. And finally, if I may add a third, just a quick update on book value thus far in the fourth quarter.
Julian Evans: So related to the leverage, I think there's a fairly fluid conversation, we haven't really assigned a number to that. I think we're a lot more focused on making sure that we have a pretty good view collectively on the right time to get more involved in the RMBS space. And I think so far we've made the right moves with respect to kind of limiting the additional leverage we've taken on that. The first part of your question was…
Jay Lown: It was to do with using the ATM…
Julian Evans: So the capital that we raised in the third quarter was a creative to book. And I believe, the total that was raised definitely added to our book value for the quarter. So we felt good about that. We have tapped the ATM primarily this year, actually exclusively this year, at most. And I would expect us to continue to tap the ATM at the appropriate time given where the stock trades relative to book, relative to the amount. I don't know. But I would tell you that, you know, again, as we get closer to -- I think, we would consider the wides for the RMBS at a point where we think the Fed sort of taps out in terms of the terminal rate for rates. I think there's a really good opportunity to invest in our space on the agency side for agency REITs who rely on the basis for accretive book value moves. And so I would love to be able to be in a position to take advantage of that on a larger scale at the appropriate time. The extent to which we'll be able to do that, again, depends on things not really inside our control related to how the stock trades. But we do think that there is an opportunity coming relative to being able to add assets in that asset class at decent levels. As for the current book value as of the end of October, I'll let Mike give you that.
Michael Hutchby: So it's obviously still very early as it's just the very beginning of November. But from what we have put together, we see October 31st book value down about -- book value per share down about 1% from where it was at September 30th and that is of course before any fourth quarter dividend accrual as the board has not yet met to review and approve a dividend for the quarter.
Mikhail Goberman: That 1% would be a very, very fine performance compared to some of your peers. So best of luck going forward.
Operator: I'm showing no further questions in the queue. I would now like to turn the call back over to Jay Lown for closing remarks.
Jay Lown: Great, thank you. Thank you, everybody for joining us for our third quarter conference call. And we do look forward to updating you sometime in February and March of next year to apprise you of our fourth quarter results for 2022. Have a great day. Thanks.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.